Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I'll now turn the call over to Johanna Escobar, General Manager and Chief Executive Officer of Liberty Costa Rica.
Johanna Escobar: Good morning, and welcome to Liberty Latin America's First Quarter 2023 Investor Call. [Operator Instructions]. Today's formal presentation materials can be found under the Investors section of Liberty Latin America's website at www.lla.com. Following today's formal presentation, instructions will be given for the question-and-answer session. As a reminder, this call is being recorded and will be available under the Investors section of our website. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook and the future growth prospects and other information and statements that are not historical facts. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recently filed annual report on Form 10-K and the quarterly report on form 10-Q, most recently filed with the SEC, along with the associated press release. Liberty Latin America disclaims any obligations to update any forward-looking statements or information to reflect any change in expectations or in the conditions on which any such statement or information is based. In addition, on this call, we will refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under Investors sections of our website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Johanna, and welcome, everybody to Liberty Latin America's First Quarter Results Presentation. I'll begin with our group highlights and an overview of our operating results by reporting segment. Chris Noyes, our CFO, will then follow with a review of the company's financial performance. After that, we will get straight to your questions. As always, I'm joined by my executive team from across the region, and I will invite them to contribute as needed during the Q&A following our prepared remarks.  As a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com. Starting on Slide 4, and our highlights for the quarter. We continue to drive organic volume growth in Q1, adding 65,000 subscribers across high-speed fixed Internet and mobile postpaid. Internet additions were particularly strong in the quarter, led by improved performance in C&W Caribbean. The results reflect net additions to all of our reporting segments, providing a solid operational start to the year.  The group reported adjusted OIBDA of $407 million in the quarter. This represented a rebased growth rate of 4%, which was in line with our expectations and keeps us on track to achieve our financial goals for the year.  Moving to our integration activities in Puerto Rico, Panama and Costa Rica. 2023 is a key year which will set us up to deliver significant value for stakeholders. Of note in the quarter, we began to migrate prepaid customers to our newly built mobile platform in Puerto Rico. We are also moving quickly to consolidate our operations in Panama following the lifting of certain restrictions earlier this year.  Finally, I'm pleased to announce that in line with our previously stated capital allocation strategy, the company has authorized an additional up to $200 million for share buybacks. We continue to hold the view that the most compelling capital returns are in our own company.  Turning to Slide 5. I'll begin our operating review with C&W Caribbean. I'm pleased to say that the economies in the regions are continuing to recover from the impact of COVID-19, and this is reflected in our strong performance.  On the left of the slide, we present our Internet and mobile postpaid additions. Internet additions continued to build in the first quarter, as we added 11,000 RGUs, representing a significantly improved performance compared to the prior year period. Jamaica drove this improvement following the successful launch of our and FMC propositions. Investments in our networks have also driven increased market penetration, more than 80% of homes passed at C&W Caribbean are now Giga-Ready, meaning that they are capable of delivering broadband speeds of 1 gigabit per second or more.  In mobile, we delivered another solid performance with 20,000 postpaid subscriber additions, 33% higher than in the prior year quarter. We continue to drive penetration of our FMC products and have exciting plans through 2023.  In connection with our enhanced services and offers, we have implemented nominal fixed service and prepaid mobile price increases in select markets to reflect the added value being delivered to our customers. In most cases, these rate adjustments followed several years without any increase.  Moving to the center of the slide and our revenue by product. The pie chart here depicts the well-diversified nature of C&W Caribbean's revenue, with B2B and consumer fixed the largest elements, followed by consumer mobile. We saw strong growth in mobile revenue during the quarter driven by subscriber additions over the past 12 months.  However, this was more than offset by a decline in B2B revenue due to a strategic change that Chris will cover in his remarks. Without this, revenue would have grown by 2% in the quarter on a rebased basis.  Moving to Slide 6 in our C&W Panama segment. Starting on the left of the slide, Internet RGU additions in Panama showed healthy growth sequentially and consistent performance year-over-year. We launched DOCSIS 3.1 and combined with our extensive 5G to home network, we offer speeds of 1 gigabit per second to more than 85% of homes passed. We expect that the significant investments will underpin continued growth. In mobile, we remain focused on postpaid and maintain a stable subscriber base in the quarter. In prepaid, we are targeting improved ARPUs through the mix of packages we offer and a focus on higher value customers. We think ARPU increases in prepaid is long overdue in our markets.  Moving to the center of the slide and our revenue by product. In Panama, our largest products by revenue are mobile and B2B. Fixed is the smallest product area, but one of the fastest growing. In Q1, all our products in Panama showed growth, with fixed and B2B performing particularly strong as they grew 6% and 7%, respectively.  B2B typically starts the year slowly after the seasonal peak in Q4. However, growth in mobile services and customer contract rents in the period drove a positive year-over-year results. Despite the decline in prepaid customers, mobile revenue was also higher year-over-year.  Finally, to our integration update outlined in the lower right of the slide, we remain focused on integrating the Claro Panama operations. Following the lifting of restrictions in January, we have made good initial progress as we work to combine customer-facing aspects of the business such as stores, brands and propositions.  We are advancing the integration of our back-office functions, and we are consolidating infrastructure and benefiting from associated savings, expanded coverage and capacity.  Next to Slide 7, and Liberty Puerto Rico, our largest single market. Starting on the left of the slide, our Internet net additions were in line with the prior year period. We continue to invest in the expansion and upgrade of our networks in Puerto Rico and anticipate that this, together with our converged propositions, will drive sustained growth.  We implemented price increases earlier this year and seen de minimis impact on churn levels, as our network quality and propositions continue to resonate with customers.  Turning to mobile. We have a postpaid base steady in the quarter continuing to record low churn levels at around 1% a month. In prepaid, we lost subscribers, which was impacted by constraints we have until the integration is complete. Heavy subsidies to attract new customers and to retain existing customers have led to lower ARPUs in the market. We may look at these price increases to help offset this impact.  Moving to the center of the slide. Consumer mobiles are largest product in Puerto Rico, with just under 50% of our revenue. This is followed by our fixed business representing 1/3 of the total and B2B at 15%. Fixed revenue grew in the quarter. However, mobile was lower as postpaid subscriber growth was offset by ARPU and prepaid subscriber declines.  B2B is a growth opportunity for us given our relatively underweight market share position. To differentiate our propositions, we are introducing exciting new products, leveraging our leading network capabilities. As an example, we recently launched our Always On connectivity solution where customer's network will run on fixed infrastructure by default.  However, if that stops working due to, for example, a power outage, our modem will seamlessly switch to the mobile network to keep the customer connected.  Finally, there are integration updates on the lower right of the slide. Integration is a significant focus for us in Puerto Rico, and we are now entering the latter stages of the process.  Of note, our team is beginning to bring existing and new prepaid customers onto our networks and platform. A key milestone will be when we start to migrate postpaid customers in the fall.  Turning to Slide 8 and Liberty, Costa Rica. Starting on the left of the slide, our Internet subscriber base remained stable in the quarter, with additions in line sequentially. In mobile, our market-leading business continued to grow, adding 13,000 postpaid subscribers in the quarter.  The launch of Liberty Total FMC bundle in March is expected to drive adds and improved churn rates across Internet and mobile.  Moving to the center of the slide. Consumer Mobile is our largest product, with close to 60% share of revenue. This is followed by our Consumer Fixed business, representing just under 1/3 and then a small but fast-growing B2B operations.  Mobile and B2B drove revenue growth in Costa Rica year-over-year. We see potential for sustained growth in our B2B operations, as we are currently underweight in this area and can leverage products, propositions and capabilities from other parts of LLA to differentiate our offering in Costa Rica.  We also plan to take price increases in Fixed this quarter. We anticipate that the increased value of speed and better WiFi will make the price increase go smoothly.  Finally, to our integration update on the lower right of the slide, we anticipate 2023 will be the final year of integration activities related to Telefonica Costa Rica acquisition. We are on track to deliver synergies as anticipated with a full run rate level from the end of the year.  Finally, to Slide 9, and our C&W Network and LatAm segment. Starting with wholesale on the left-hand side, where we grew revenue by 4% in the quarter, running through the highlights. Our 80% of revenue and cash flow is denominated in U.S. dollars, making the business very stable and predictable.  We have a unique mesh network across the region with multiple points of redundancy, including the lowest latency connectivity from Colombia to the U.S., enabling us to provide comprehensive connectivity solutions. We continue to increase our capabilities, recently moving to 400 gigabit wavelength technology for our U.S. terrestrial networks interconnecting Latin America with key U.S. data hubs.  In the center of the slide, you can see that wholesale accounts for most of their revenue with an approximately 75% share. Although a smaller part of this reporting segment, our LatAm B2B business is one of the fastest-growing areas across our group, with revenue up 12% in Q1.  On the right of the slide, we provide some more color on this area. The chart here shows 2 different major product groups within our LatAm B2B business. The largest element remains connectivity. However, the highest growth area is value-added and managed services, which include cloud-based data center solutions, disaster recovery as a service and cybersecurity solutions, among others.  We expect the value-added services area to continue its strong growth trajectory, representing a larger share of B2B revenue over time, as customers look to increase the sophistication of the IT platforms and products.  With that, I'll pass you over to Chris Noyes, our Chief Financial Officer, who will talk you through our financial performance before we take your questions. Chris?
Christopher Noyes: Thanks, Balan. Before I begin, as a reminder, we deconsolidated our Chilean business at the start of Q4 2022, so our reported results in 2023 will not include the operating results of VTR. For Q1, we delivered consolidated revenue of $1.1 billion, reflecting a $59 million increase over Q1 2022, after excluding the $171 million of revenue generated by VTR in the prior year quarter. We produced modest rebased revenue growth of 1% in the quarter.  Our operating segments of C&W Networks and LatAm, C&W Panama and Liberty Costa Rica were our strongest performers with mid-single-digit rebased revenue growth. With that being said, C&W Caribbean also had a good quarter, but as reported revenue was impacted by a business decision to discontinue our legacy noncore B2B voice transit arrangement in Q1, which accounted for about $10 million of quarterly revenue.  Although this will impact our revenue comparable all year, it will not adversely impact our adjusted OIBDA or FCF, as this arrangement was currently anticipated to be slightly loss making.  Next, moving to adjusted OIBDA. We posted $407 million in Q1, resulting in a $17 million reported increase over Q1 2022, excluding the $47 million generated by VTR in the prior year quarter. Our rebased growth of 4% was driven largely by Costa Rica, Panama and C&W Caribbean, as we posted our best rebased growth result in 6 quarters.  For 2023, we are targeting mid- to high single-digit rebased adjusted OIBDA growth for LLA. However, we expect growth will be somewhat muted in Q2 due in part to our comparative in Puerto Rico. And we expect the lion's share of our adjusted OIBDA growth to be significantly weighted to H2.  Slide 12 highlights our key segment results. Beginning on the left with C&W Caribbean, we reported $354 million of revenue in Q1, reflecting a 1% rebased decline and $140 million of adjusted OIBDA, resulting in 8% rebased growth.  The discontinuance of the aforementioned transit arrangement drove our rebased top line decline, while the remainder of the business reported rebased revenue growth. On this basis, our primary driver of growth was through residential mobile, consisting of service revenue expansion led by our postpaid efforts and higher inbound roaming.  Our strong adjusted OIBDA rebased growth was largely fueled by Jamaica and improved operating leverage across many of our islands. We finished the quarter with a margin of nearly 40%, up significantly as compared to the prior year quarter.  Moving to Cable & Wireless Panama. CWP contributed $165 million of revenue and $44 million of adjusted OIBDA in Q1, reflecting 4% rebased revenue growth and 16% rebased adjusted OIBDA growth. As an aside, our results moved lower in Q1 from Q4 due in large part to the seasonally strong Q4 we experienced in B2B and which is typical for us.  Rebased top line growth was delivered by all 3 business categories: residential fixed, residential mobile and B2B, with our strongest year-over-year growth derived from B2B, which was driven by growth in mobile services and an increase in the volume of certain government-related projects and residential fixed, which was helped by over 50,000 RGUs added over the last year.  Adjusted OIBDA grew double digits in Q1, which was our best quarterly results since 2021. This year-over-year expansion has been helped by our value capture activities from the Claro Panama integration.  Turning to the middle column, C&W Networks and Latin America. We generated $109 million of revenue or 6% rebased growth and $64 million in adjusted OIBDA or 4% rebased growth. Rebased revenue growth within our subsea network was as a result of higher lease capacity. LatAm B2B service revenue also expanded through higher connectivity and managed service revenues. We ended Q1 with an adjusted OIBDA margin of 59% for the quarter.  Second, from the right, Liberty Puerto Rico, Q1 revenue was $366 million, reflecting flat year-over-year rebased growth and a decline of $8 million from Q4, which is due largely to higher equipment sales during the holiday period. Residential fixed garnered modest growth on the back of volume gains during 2022, and residential mobile decreased year-over-year, as higher handset sales were not able to offset lower ARPU and a decline in prepaid and reseller mobile subscribers.  Sequentially, our mobile service revenue and ARPU were stable. Adjusted OIBDA increased substantially from Q4, as we delivered $134 million in Q1, which reflected a rebased decline of 4% as compared to Q1 2022. Several factors contributed to this year-over-year decline, including a lower net contribution from roaming and higher operating costs. These were partly offset by lower direct cost following credits received in Q1 2023 related to historical equipment purchases.  Wrapping up with Costa Rica on the far right, we delivered Q1 revenue of $129 million and adjusted OIBDA of $45 million, reflecting strong rebased revenue growth of 4% and rebased adjusted OIBDA growth of 28%. Revenue growth was driven to a large extent by our mobile operations as we have added over 80,000 postpaid subscribers over the last 12 months.  Supported in part by our revenue growth, adjusted OIBDA expanded significantly year-over-year and benefited from lower integration spend and the year-over-year strengthening of the Costa Rica colon to the U.S. dollar, as we have certain costs in areas like programming that are denominated in U.S. dollars.  Slide 13 highlights our results for P&E additions and adjusted FCF and reiterates our 2023 outlook on these metrics. For the first quarter, we incurred $145 million of P&E additions or 13% of revenue. We built and/or upgraded 90,000 homes in the quarter led by activity in the Caribbean and Panama.  During the quarter, we incurred about $9 million of integration CapEx largely in Puerto Rico and expect integration CapEx to remain elevated throughout the year.  Finally, we remain on track to deliver our 2023 target of 16% of revenue. Hence, we will see ramping of our spend over the next 3 quarters.  In terms of adjusted free cash flow, we posted negative $50 million in the quarter, similar to our reported level of negative $56 million of adjusted FCF in Q1 2022. As a reminder, first quarter tends to have heavier trade working capital requirements, and our interest expense tends to be higher in Q1, Q3 due to timing of payments.  We expect our adjusted FCF before partner distributions to be substantially weighted to H2, especially Q4, and we remain on track to deliver our $300 million target.  In terms of partner distributions, we are expecting about $40 million to be paid out to our partners in Q2 in Panama and Bahamas, with a nearly similar amount upstream to us at LLA to then be redeployed.  Turning to Slide 14. At the end of Q1, on a consolidated basis, we had $8 billion of total debt, $700 million of cash and $1 billion of availability under our revolving credit lines. We had gross leverage of 4.9x and net leverage of 4.5x, which was slightly improved versus Q4 2022.  And our weighted average life was 5 years, and our fully swapped borrowing rate was just under 6%. During Q1, and as we briefly highlighted on the Q4 call, we refinanced our Costa Rican 2024 term loans with $450 million of new debt maturing in 2031. This credit silo is currently levered at 2.5x.  This transaction, combined with a $25 million purchase of our convertible bonds due in 2024 that we made in the quarter, results in 95% of our debt due in 2027 or later.  In terms of our stock repurchase activity, we bought $25 million in Q1. And at March 31, we had $32 million remaining under our authorization. As a result of continued business performance tracking to expectations, in particular, cash generation and the attractive level of our stock, our Board just authorized an additional $200 million through December 31, 2025.  Moving to the final slide. To recap, we maintain solid broadband and postpaid subscriber volumes in Q1 as well as continued our positive B2B trajectory. Our volume growth over the last year has enabled us to maintain top line performance, even in light of softer global macro trends and some ARPU compression.  As we begin to selectively start using price increases more strategically, together with an increasing focus on FMC bundles and enhanced customer value propositions, these activities should help support our revenue ambitions.  As highlighted on previous calls, integration execution is a primary focus for both our corporate and local operating teams. The next 3 quarters are critical for us, as we seek to deliver our value capture goals and be less reliant on the sellers of our acquired businesses in Puerto Rico, Costa Rica and Panama.  Turning to capital allocation. We channeled $50 million into equity in Q1 through both our buyback activity and retirement of a portion of our convertible bond. We will remain disciplined in our repurchases. But given our operating goals and our low stock price, we believe this is a highly accretive window for us to be opportunistic, and our increased buyback authorization supports that activity.  And finally, we remain confident in delivering on our adjusted OIBDA, CapEx and free cash flow targets for 2023.  With that, operator, please open it up for questions.
Operator: [Operator Instructions]. Our first question today comes from Jeffrey Wlodarczak from Pivotal Research Group.
Jeffrey Wlodarczak: I had a couple on Puerto Rico. I was wondering how the TSA migration process is going initially. Is there a disruption for customers from that process? And do we assume that most of that $30 million in integration costs this year is related to the fact that you're operating under TSA and then you're building out your own network? And so that's what goes away next year. And then I have a follow-up.
Balan Nair: Jeff, thanks for the question, and I'll ask Naji to jump in here in a second as well. The TSA migration is -- has started, and we started it on the prepaid side of our business, and it's going pretty well. There are disruptions to customers, however, in both the prepaid and postpaid because there are some handsets that just won't operate on our new network and some of the really older handsets with older operating systems.  So we are doing 1 or 2 things. We are having customers come into our stores and we update the software for them or we are offering also opportunities for them to change out handsets. So that's really one of the big frictions in the migration.  But the systems, we it up. The network is functioning. So the network is the same for prepaid and postpaid, so the network or -- it's already up and running. And the work is progressing really well.  On the integration costs, yes, some of the costs do go -- a lot of the costs do go away next year. There's cost that we paid to AT&T as well as cost as we start paying for our licenses already on our new stack. And those are the overlaps this year that can anticipate next year, part of it as.  And Naji, do you want to add anything to that?
Naji Khoury: Yes. I would just add that in terms of our customer migration, for the most of them, the majority will be completely seamless. And for the very few that you had mentioned will require some sort of intervention. But those -- that is a very low percentage. And the plan is to start already some prepaid and postpaid will start shortly, probably in H2.
Jeffrey Wlodarczak: Got it. And then I guess, this is for any of your market -- sure. Are there any signs of FWA emerging in Puerto Rico or any of your other markets? And then as a wireless operator, is FWA potentially interesting for you as sort of a sell-in for your footprint or maybe like a fixed mobile offering?
Balan Nair: FWA hasn't really taken off in our markets for a number of reasons. One, the -- most of our networks everywhere on the fixed side is very strong, not only our network, but our competitor's networks as well. So in almost every market, we are the fiber player or HSC player, a combination of both, and our competitor has somewhat something similar. So FWA would struggle.  And almost everywhere, unlike the United States, Mainland, we have ubiquitous coverage. So there's no real pockets for somebody to go exploit FWA. Now we've considered FWA in a few cases. But remember, it is very -- it is a huge spectrum hog. And right now, our focus on our spectrum is really on our mobility services.  But there will be some niche cases on it, and it would work for us because we have scale in there. And so it's just a fill-in. But if your business was just a stand-alone FWA business, it's going to be pretty hard.
Operator: The next question comes from Cesar Medina from Morgan Stanley.
Cesar Medina: I had two questions. The first one is you had a very positive surprise on the margins for Costa Rica, certainly way ahead of our expectations. How sustainable these new level of margins is?  And then second, to the extent that you can provide the high-level color, any comments on your joint venture in Chile and the overall state of competition? How is competition in Chile evolving after the joint venture?
Balan Nair: Sure. Let me answer the Chile question. I'll get to the Costa Rica after that, and I'll ask my colleague Guillermo to also jump in here on the Costa Rica question.  On Chile, we have actually a very strong and good partner there in Chile, and we've learned a lot from them. I think they've learned some from us as well. And if I look at Chile, there's a lot of good news that started there. We won the 5G spectrum. We were able to transfer our 3.5 gig. That was a big deal for us. A lot of really good opportunities in mobile.  We see the upside in Chile on mobile pricing. Our penetration is pretty low -- so -- in the teens, so we should grow that. We think there will be stability in the fixed business as well as fixed ARPU. And so we feel good, but there's still structural problems in Chile. Make no mistake.  The rationale for us to do that transaction is even stronger than ever. And the synergies are already starting to come in. Our local management team has done a really good job.  So all-in-all, Chile, I think the jury is still out, but -- and the synergies, once they start kicking fully and is leveraging some of the other opportunities, I think it's going to turn out to be a good story.  To Costa Rica, one thing on Costa Rica is some of the margin expansion is also driven by synergies, which, as I indicated on my comments earlier, that comes to an end this year, so we won't have that repeat again next year. And I'll ask my colleague, Guillermo to give any other color he wants to. Guillermo?
Guillermo Ponce: Yes. Thank you, Balan, and thank you, Cesar. As you pointed out, we're still being benefited from synergies, and we will continue to do so throughout the year. Also exchange rate is helping in the comparison with last year. But the third element is that we continue to grow.  And as you pointed out in the beginning of the presentation, we just launched [indiscernible] FMC proposition, and we're very bullish about it. And the growth prospects, both in fixed and mobile, continue to push the growth in the market in which we have demonstrated to have leadership both in fixed and mobile. So we're optimistic about it.
Balan Nair: Thanks, Guillermo.
Unidentified Company Representative: I'll add, Cesar, I mean I think the margin was quite good in the quarter. And certainly, our expectation would be to continue to improve on that as we go out.
Operator: The next question comes from Soomit Datta from New Street Research.
Soomit Datta: Yes, a couple of questions, if that's okay, please. First of all, on pricing, I think, you talked about lifting prices in Costa Rica in Q1, if I heard that correctly, and there's talk of strategic price lifts elsewhere. I'm not sure if that includes Puerto Rico.  But I guess, just stepping back a little bit, it feels like maybe you're more willing to entertain price increases than in the past. I just wondered if you kind of concur with that view. And if so, I wonder what has kind of changed in terms of dynamics on the ground, and that's the first question. I do have a quick follow-up, if that's okay.
Balan Nair: Soomit, sure. I think this year, what we're trying to do is perhaps just exercise our muscles a bit on price increases. We haven't done a price increase in a few years. And we wanted to do some very modest, and they are really very modest price increases to see how the market reacts as well as for us to get our commercial teams all set for -- at some point in the future, we will do more traditional price increases.  Now make no mistake, our focus is still on volume. And we grow this business with the side of it, and we take some piece where we can. So where we focus on piece in Puerto Rico, we've done on the fixed side, the price increase. I kind of indicated we may do something on the postpaid mobile as well.  And the fixed price increase that we took very modest, it was really actually pretty much unnoticed in the market.  And in Costa Rica, we will take price increase this quarter. Also very, very minimal in the -- in our Cable & Wireless business as well as in our Panama business, we're looking at prepaid price increases and selectively in certain areas, some fixed price increases as well.  I think this year, it's really testing the market a little bit, testing ourselves a little bit how we would do it, get our processes and price increases back on track. And -- but I think the market is ready. And our customers, like I said, for 2, 3 years -- 3 years now, we've not taken any price increases. And I think they kind of appreciate a lot of the product improvements as well.  I mean nobody likes price increases. But certainly, people won't like price increases when they don't get anything for it. But we've increased speeds consistently over the last 3 years. We've given better products and then introducing a minor price increase, it's landing pretty well.
Soomit Datta: Okay. Great to hear. And I guess, perhaps related to that, just on Puerto Rico on the wireless side. The service revenues on wireless look to have stabilized in the first quarter. I think there's a little bit of sort of funny around the accounting there -- or not funny, but there's a little bit of uncertainty around some of the accounting issues.  But in principle, do you think you've been through some of the worst of the pricing pressure on wireless in Puerto Rico? And again, you're talking a bit about price increases there, so it sounds like that might help also.
Balan Nair: Yes, I think so. I think in Puerto Rico, the price decline, some of it, as you pointed out, is accounting because there's an amortization of the handsets built into the ARPU that you see. I mean it's not the price that our customers see, but in the ARPU that we show in our reporting has some adjustments made for it to account for a portion of the subsidized devices.  And I tell you that the subsidized devices is what caught us by surprise because we did try to match everybody during the holidays last year, coming into January of this year on subsidies for handsets, both on retention and acquisition, and it was quite successful.  However, having said that, that also meant we were writing a lot of checks for devices and accumulating that into the ARPU as well. And so my colleague there in Puerto Rico, Naji, this quarter -- this last quarter started to throttle back some of the subsidies, and you'll start seeing more stability in the reported ARPU on this.  And then like I indicated, we are contemplating a price increase on the postpaid side, not too different than what the mainland wireless operators are doing.
Operator: Our next question comes from Kevin Roe from Roe Equity Research.
Kevin Roe: Follow-on -- a few questions on Cable & Wireless Caribbean. Could you update us on the competitive landscape there in postpaid and in residential broadband? And how are you thinking about macroeconomic pressure potentially impacting that business as we go through the next months and quarters?
Balan Nair: Sure. And I'll ask my colleague, Inge, to jump in here as well. We feel really positive about our Caribbean business for a few reasons. One, a lot of the economy is coming back. By the way, it's not coming back to where it was pre-COVID. So you see cruise ships coming back, but it's still a fraction of where it was in 2019.  Hotels are back, but occupancy rates are still in the 60% range as opposed to the 80% range pre-COVID. So there's still upside yet to come as the economy fully recovers. Now Inge and her team, together with a lot of my other colleagues in this business have launched a couple of things. One, we've been really focused since COVID on taking cost out, and you'll see the margins expansion here, one, both on the COGS side.  As some of you have noticed, COGS has improved. There's some really good work being done by teams, both on the programming side, on the commercial side. That took quite a bit of cost out. And secondly, our commercial teams have also launched some very innovative FMC products that have moved some of our prepaid customers up to postpaid.  So I think in many cases, it's a duopoly in a lot of these islands. And our competitor there, Digicel, is quite, I think, motivated like us to create value. And when you have 2 competitors that are looking to create value and providing good service to their customers, I think everybody wins.  And that's what we're seeing right now in the post-COVID world. And Inge is my colleague that runs the business, and I'll ask her to jump in here to provide a bit more color, Inge?
Inge Smidts: Thank you, Balan. So on the economy, similar as Balan, we really see islands -- for islands, there might be a few islands which are not yet fully recovering, but there is room to even recover more.  And as per Balan, we see the cruise ships coming. We see the tourists coming, and not yet on the level of before COVID, but we are making massive progress. So -- and you can see that when you're in the islands and you can really feel that uptake. So I think from a macro point of view, I think it will only go -- it will only improve.  From a competitive point of view, like Balan said, we have a very good competitor in the Caribbean. And our focus is twofold. One, really understanding every dollar we spend, how can we get the best return; and second, really drive every single aspect of our business, whether it is in mobile, whether it's in fixed through FMC or B2B.  We've done quite some work in B2B on the SMB segment. We launched very dedicated propositions, and also our B2B segment in large enterprise is actually also doing really well. So overall, by having the right propositions, with the right cost structure, that's how we believe we are in a very good shape for the coming quarters ahead of us.
Balan Nair: Thank you, Inge. That's helpful.
Kevin Roe: Yes, that's super helpful. Just a quick follow-up, if I may. Balan, broadly, looking across your footprint, are there any new regulatory developments or risks we should be monitoring?
Balan Nair: Well, when it comes to regulatory issues, we are always -- our antennas are up. We have a pretty strong team, led by John Winter, my General Counsel, and -- which we constantly monitor all the different puts and takes. I think the thing that we are probably really focused on right now is 5G spectrum and at what point do the spectrum become available, the method on how these governments want to distribute the spectrum, what the local posture would be. That's probably the big one. Most of the governments that -- in areas that we operate are business-friendly. Of course, they are obviously elected by their voters, and they have to cater to that need as well, but they are mostly very business-friendly.  And my leadership team has spent a lot of time with respective politicians in the different areas, and we've built quite a good relationship and honest relationship, I would say where we don't go in asking for anything. And -- but we want to make sure that they know that we're here for the communities, we're here for the country, and we are an engine of economic growth for them.  And I think they see it the same way as well. So regulatory-wise, yes, our eyes are always open, but there's nothing in the horizon that would worry me at all.
Operator: Our final question today comes from Matthew Harrigan from Benchmark.
Matthew Harrigan: Balan, I was curious if you could comment what you see structurally in the Latin video market. Certainly, I think you've toyed in the past, what's happened to your in-house streaming product that was [indiscernible] any CPE cost. I mean certainly, that could be attractive in certain markets and certainly for a middle-income demographic.  And it also feels like Vix, I mean, Televisa Univision, is mostly focused on Hispanic, U.S. and Mexico. Right now, it feels like Netflix is maybe lagging or stalling out a little bit right now.  I'd just be curious -- or we just be curious in terms of what you're seeing in terms of the consumer preferences and how it was working for you, other than really fostering demand for broadband and higher-speed broadband.
Balan Nair: Matt, I think you're breaking up a little bit, so I'm going to answer the question that I heard, but you tell me if that's the question that you asked.  And on the video side, I think there's 2 parts to the video. And one, we have defensive place where we are the video provider, and that's really Puerto Rico and Costa Rica, where we are the cable company. And it has been defensive for a while until recently where we've kind of found a few opportunities just because some of our competitors are retreating from the video business and not investing in that.  So we've seen some stability, unlike the United States, where you see like massive drops in video subscriber base. So you see a more stable video business for us.  When it comes to investment in video, we've made 2 investments. One, our IPTV set-top box called Hub TV, which we are now deploying everywhere. And associated with Hub TV, because it's an IP box, we actually do stream content to that device, which means we can also stream content to any other devices as well.  But I must tell you, Matthew, this is not a growth product for us. My management team and I are managing the video business as a business to conserve cash, generate new cash and -- but holding it steady.  Our focus on growth remains in postpaid, in fixed broadband and in our B2B business. That's where we focus on growth. Video is a steady-state product. And I suspect the Hub TV investment would be our last big investment in video. And so we're going to hold that steady and then focus on the products that our consumers are really demanding right now.
Matthew Harrigan: And then very quickly, is the exploration of monetizing subsea network pretty much completely off table or somewhat off the table in this macro environment?
Balan Nair: Well, as I mentioned in the last quarter call, we've appointed Ray Collins now to be the General Manager of that business. And Ray, given his background in M&A. And he, by the way, also retains the portfolio of my lead BizDev executive, we're always -- our eyes and ears are always open on that business.  The process that we started last year ended without any conclusion because of where the credit markets ended up. And now this is a very high cash-generative business. So when people look at this business, you look at an EBITDA multiple, it's the wrong way to look at that business. It's really a multiple of free cash flow.  And when you look at that from a yield standpoint, on a free cash flow, it generates -- I mean you translate that into EBITDA, the EBITDA multiples are actually quite high for this business.  If I had to make any sense for us to want to do any transaction here and given where credit markets are, I suspect everybody is going to have different expectations of multiples.  But Ray remains open eyes and open ears on this. And if an opportunity comes by that makes sense for us, we'll do it. This management team, we never -- we really ever get our math wrong. So -- and when we see an opportunity that works for us, we'll take it. If not, this is a great free cash flow business for us, and we actually love the business.  And I must say, we are looking at ways to invest in it further. And you should hear from myself over the next few quarters and expanding new routes and opening new markets for us to get into.
Operator: That does conclude today's question-and-answer session. I'd like to hand back over to Balan Nair for any additional or closing remarks.
Balan Nair: Thank you, operator, and thanks, everybody, for taking the time on this call. I must say I feel really good about our first quarter. And first quarter usually sets the trend for the rest of the year, and this is coming in to our expectations. If you had a chance to look at my internal budgets, you will be equally pleased as I am with our first quarter performance. So I thank you all for your support, and we've got lots of work to do here in LLA, and we will continue to work really hard for you.
Operator: Thank you. Ladies and gentlemen, this concludes Liberty Latin America's first quarter 2023 investor call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's website at www.lla.com. There, you can also find a copy of today's presentation materials. You may now disconnect your lines.